Executives: Nicholas J. DeIuliis - President William J. Lyons - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Brandon R. Elliott - Vice President of Investor and Public Relations Robert F. Pusateri - Executive Vice President of Energy Sales & Transportation Services and Executive Vice President of Energy Sales & Transportation Services for CNX Gas Corporation J. Brett Harvey - Chairman, Chief Executive Officer, Member of Executive Committee, Chairman of CNX Gas Corporation and Chief Executive Officer of CNX Gas Corporation
Analysts: James M. Rollyson - Raymond James & Associates, Inc., Research Division Brett Levy - Jefferies & Company, Inc., Research Division Meredith H. Bandy - BMO Capital Markets Canada Andre Benjamin - Goldman Sachs Group Inc., Research Division Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division John D. Bridges - JP Morgan Chase & Co, Research Division Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Kuni M. Chen - CRT Capital Group LLC, Research Division Michael S. Dudas - Sterne Agee & Leach Inc., Research Division Mitesh Thakkar - FBR Capital Markets & Co., Research Division David Gagliano - Barclays Capital, Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division
Operator: Ladies and gentlemen, thank you for standing by and welcome to CONSOL Energy's Fourth Quarter Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Mr. Brandon Elliott. Please go ahead, sir.
Brandon R. Elliott: Great. Thank you, Tony. I would to welcome everyone to CONSOL Energy's Fourth Quarter Conference Call. We have in the room today Brett Harvey, our Chairman and CEO; Nick DeIuliis, our President; Bill Lyons, our Chief Financial Officer; and Bob Pusateri, our Executive Vice President of Sales and Marketing; David Khani, our Vice President of Finance; and Dan Zajdel and I are here representing our IR team. Today, we will be discussing our fourth quarter results. Obviously, any forward-looking statements we make or comments about our future expectations are subject to the business risks we have laid out for you in our press release today as well as in our previous SEC filings.  We are going with a slightly different format this quarter, in case you are not aware by now, we have posted slides that we will be referencing at times during today's call. Those slides can be found on the Investor Relations link of our website at consolnergy.com, under the Presentation to Analysts section.  We will start today with Brett Harvey, our Chairman and CEO, then Bill Lyons, our CFO, will cover our financial results. Bill will be followed by Nick and Bob will cover our operational performance and marketing outlook.  We will begin with Brett.
J. Brett Harvey: Thank you, Brandon. I just want to reiterate that these slides are in new format, and I'll be talking originally to Slide #3. First of all, let me say, 2011, we ended with a -- on a good note with a good year that reflects, I think, very, very powerful, valuable assets and a good marketplace, you have very good financial results. And these assets reflect that. Bill will talk about that and how we did.  Before we go any further, I'd like to talk about our advancements in safety towards 0. We had a better year than we had the year before. We continued to advance towards 0. We are not perfect, but we're striving to be there. And I think advancing every year as we have done is good for our people and good for the industry.  We're trimming our capital plans versus what we announced a few weeks ago. Markets change. We have the ability to change based on this great asset base that we have. Nick will talk about that and talk about our approach to that, our capital plans going forward.  We are positioned well for a weak environment on energy as energy cycles. We're hedged well for 2012, and we're in a very solid position of opportunities with our partners in the gas business. And we will talk about those as well.  At this time, I'll turn it over to Bill to talk about our performance.
William J. Lyons: Thank you, Brett, and good morning, everyone.  As you have seen in our press release and Slide #4, CONSOL Energy posted several records for the quarter and the year, both operationally and financially. We are positioned to manage macroeconomic volatility with our solid balance sheet, our strong liquidity and our 2010 contracted -- 2012 contracted position for our coal and natural gas volumes. Net income was $196 million or $0.85 per diluted share for the fourth quarter of 2011 compared to $104 million or $0.46 per diluted share for the fourth quarter of 2010. This is an increase of 88%. Total sales revenue for the fourth quarter of 2011 was nearly $1.4 billion. That's up 6% year-over-year. For the fourth quarter of 2011, we generated operating cash flow of $275 million and EBITDA of $440 million. The primary driver for the quarterly results was the $17.95 per ton coal margins, which was an increase of 7%. For the fourth quarter of 2011, our active coal operations generated earnings before interest and taxes, or EBIT, of $274 million. This is the fifth quarter in a row of posting consistently strong operational results. Our low-vol and high-vol met coal operations generated nearly $193 million for the fourth quarter in EBIT, an increase of $58 million from a year ago. Bob Pusateri will spend some time on marketing details, but of particular note, we exported 11.4 million tons of coal to Asia, Brazil and Europe in 2011. On the thermal side, we earned $81 million of EBIT, which is 45% lower than $146 million from the fourth quarter of 2010. But remember, we switched an additional 648,000 tons of thermal coal into the higher margin, high-vol met market when we compare the fourth quarter of 2011 with the fourth quarter of 2010.  Our coal cost averaged $54.80 per ton in the fourth quarter or about $0.80 per ton higher than we had forecasted. Costs have been rising faster than we would like, and we are analyzing some cost reduction areas that we will share in our next call. In our active coal operations for 2012, we have maintained our production guidance ranges in the midpoint of 60.5 million tons. Now let me turn to our E&P operations. The Gas division reported net income of $43 million for the fourth quarter. This included a $33 million after-tax gain from the Hess transaction. Excluding this transaction, net income was still higher than the year-earlier quarter. The lower gas prices we experienced were more than offset by higher volumes. We are reducing our capital expenditures in our Gas division and focusing on the high-return areas of the Marcellus Shale and liquids. On Slide 5 is our cash flow sources business. We generated a record $1.5 billion in operating cash flow. We spent $1.4 billion in capital, with the difference going to shareholders as dividends. We received $840 million from our joint venture transactions and the Antero sale. We used $500 million of these proceeds to repay short-term debt, and we improved our cash position by $340 million. You turn to Slide 6, which is our liquidity position. Slide 6 highlights that we have solid liquidity of $2.7 billion, which includes the $375 million cash at year end. Now over the past few years, we have been unfolding the investment thesis of CONSOL Energy as a company with outstanding growth opportunities, a company with low-cost operations, and a company that is appropriately and adequately financed. Our December 31, 2011, balance sheet is the manifestation of this investment thesis, and it bodes well for long-term shareholder return. To sum up, we posted another solid quarter. We have a very strong balance sheet. We are entering the year with outstanding contracted coal sales and priced positions. And we have nearly 50% of our forecasted natural gas hedged to $5.25 per Mcf.  Nick, your comments on the operations.
Nicholas J. DeIuliis: Thanks, Bill. Bill gave you the financial highlights for the quarter and for 2011, I'd like to give you some additional operational detail. As Bill mentioned and our press release indicates, our Coal division had a record 2011 in many ways. We had a very successful year in the consistency of our production and operational performance throughout the year, and we were able to deliver on our guidance by consistently overcoming the day-to-day challenges in the mining business. Our ability to hit our targets is a compliment to our operations team and shows how our portfolio of mines allows us to overcome any one single mine short-term production issues.  Coal costs for the year are best understood if we build them up from the operating costs at the mines. Controllable operating costs for the year 2011 were up less than 5% from 2010. These are going to include components such as labor, projects, supplies, preparation charges, et cetera. This also adjusts for the higher realization impacts, the new water treatment projects that we put online and a higher percentage of the production in 2011 coming from the Buchanan and Shoemaker mines in 2010. DD&A was up $1 per ton year-on-year. That reflects the investments we made at the mines to improve safety, compliance and productivity. In overhead, which will include everything from corporate staff to provisions for our retiree, healthcare and pension, that was up $1.44 per ton year-on-year. As Bill mentioned, we're starting 2012 with the renewed focus on costs. Now turning to our Gas division, and I'll begin on the Gas division where I ended on the Coal division, which is cost. We were successful in driving down our fully loaded Marcellus gas cost during the year. For the fourth quarter, Marcellus all-in costs were $2.74 per Mcf, and we reported $3.10 per Mcf for all 2011. We'll strive to be one of the lowest cost producers and one of the lowest cost basins in the country. We bet our Marcellus gas is not the only area where costs need attention. Our conventional and CBM all-in costs must also be reduced.  So while we continue to target a $3 per Mcf cost structure for our Marcellus production, we also started to process to identify ways to get our CBM gas production below $3 per Mcf all-in as well. Since shale and CBM comprise over 90% of our future capital expenditures on the Gas segment, this bodes very well for the economic vitality of the Gas division. We continued to de-risk our Central Pennsylvania Marcellus acreage, and we posted EURs at the Hutchinson pad of 4.9 Bcf. I'll point out these EURs are set on only 2 months worth of production data. And we are optimistic cautiously that as we get more production data, we could see those EURs move potentially higher.  Barbour County, West Virginia results were solid. And the 5.3 Bcf EUR wells show that derisking is taking place in the Northern West Virginia Marcellus field. The JVs we announced in 2011 are going to play a significant role in CONSOL's future. The shared expertise of Noble Energy, Hess Corporation and CONSOL is going to help generate the economic development of the Marcellus and Utica Shales and is also going to derisk the capital investment on behalf of our shareholders. We'll begin 2011 with 3 rigs running, all of them in the Marcellus. Today, we've got 7 rigs running in the shales, 6 in the Marcellus, which are 2 in Central PA, 2 in Southwest PA, 1 in West Virginia, and 1 on the Noble energy side of the Marcellus. And of course, we've got 1 rig operating in Utica for 7, again, total in the shales. I'd like to turn now to Slide 7 through 10 and just summarize those. Our goals for 2012, noted on Slide 7 and supported by the well counts on Slide 8, are to continue to take advantage of our world-class assets within the both Coal and Gas divisions. We'll also be exploring in order to derisk our Utica acreage, and we're going to continue to migrate our activity and capital towards the liquids and oil portion of our holdings. As you can see in the capital slide, our wet and liquids activity is now projected to be roughly half of our gas well count for 2012. And the first quarter shows the first step in the move towards liquids. Slide 9 shows you that we have been getting better results in the Marcellus, and we expect our results to continue to improve as we optimize drilling and completions, methods and technologies. Between the '08-'09 programs and the 2010 and 2011 programs, you can see the improvements on the graph. Obviously, our ultimate goal is not going to be just IPs but, more importantly, EURs. And as we indicated on our operations report 2 weeks ago, that's where the focus will be. Additional detail on our revised capital plan for 2012 is highlighted on Slide 10. As Brett has mentioned numerous times, those of you who know us well, know that we respond to changing market conditions. Here's an indication of that change. You can see when compared with our January 17 capital release from a week or 2 ago, that we've already reduced capital spend by $130 million on the Gas division and about $50 million in the Coal division.  In summary, our operations, combined with our marketing and finance efforts has CONSOL entering 2012 in a very solid position. And for some marketing commentary, we're going to turn it over now to Bob Pusateri.
Robert F. Pusateri: Thanks, Nick. Referencing Slide 11. Despite the facing strong winds from the global marketplace, CONSOL managed to deliver very strong year-over-year sales volumes and revenues. Year-over-year, CONSOL increased its sales for low-vol coal by nearly 20%, from 2010 volumes of 4.7 million tons.  Average realized prices increased to $190 per ton from the level of $146 in 2010. CONSOL's high-vol sales improved by 90% to 4.8 million tons in '11, and the average selling price improved $5 to $80 per ton. The majority of our success was measured by sales into Asia of 3.4 million tons and roughly 800,000 tons into South America. The export thermal market remains a large opportunity for CONSOL given our access to several ports. Moving on to Slide 12. CONSOL remains highly contracted and less susceptible in the short term to recent price weakness. We believe prices for low-vol met coal may be at the bottom in the period of April through June. CONSOL's high-vol coal is holding up very well during the first quarter. Our firm position reflects 5 cape-size vessels to Asia.  As we look forward to U.S. generators' compliance with new regulatory challenges, we believe U.S. coal plant retirements will be more than offset by increase in generation and remaining plans, coupled along with increased exports. We believe thermal coal supply in Central Appalachia will decrease, ultimately supporting higher coal prices.  Our success in expanding into new markets, both in the United States and abroad, has given CONSOL further upside in a difficult market environment. Brett, let me turn it back to you.
J. Brett Harvey: Thank you, Bob. As you can see, our format is a little different, but it's given a lot of information. That was our intent, to give you as much information, to reset where our assets are and our divisions are against where the marketplace is. Our strong financial performance really is driven by a few key features. One is we're low cost in gas and we're low cost in coal. In any marketplace, we're going to have the margins. Our shareholders need to be aware of that. We also have a great location to produce it. We have great assets in the ground, a good environment, well-capitalized, a lot of great people to get the job done to distribute coal on 4 continents or to distribute gas right at home here. Either one, we had the ability to do it.  We now have 2 very powerful partners who joined us on this great asset base to accelerate the value of these assets and move them forward to our shareholders as quickly as we can. We are a little disappointed that that hasn't reflected in the share prices as much as it should, but I think 2012, you'll see us push to get that done because we have to match our financial performance with our share price growth. The capital budget, you see a lot of flexibility based on these assets. We are flexible. We have the ability to maintain where we're at. And these projects we have, whether in gas or coal, are discretionary to us based on the rate of return that we look at versus the forward-looking markets.  We have a great set of assets. We look at these against acquisitions. And you could see, like our BMX Mine, we've chosen to put the money into a mine that will -- probably one of the best projects in the United States right now in terms of low cost, high margin and future markets that will last for 20 years. If you go back 2 years ago and you look at the deal that we did with Dominion and then brought our partners in last year, clearly, the Gas division is on the move. We don't control gas prices but we do control gas cost. Those costs will always be competitive. We will grow this business and create huge amounts of financial value for our shareholders through this gas business. That tied to the expansion on the coal side and our long-term routes in the coal business with our ability to go through Baltimore and distribute this coal on 4 continents is a very powerful model. We think that should reflect in our share prices as well.  With that, I'd like to turn it to questions.
Brandon R. Elliott: All right, Tony, this is Brandon. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question from Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: My first question is on the natural gas side, I guess more of a confirmation. But your production estimate is unchanged for this year despite the change in the gas CapEx. If you can confirm that it's basically you're taking off wells that you're planning on drilling towards the end of the year and that's impacting next year. And if you can also comment about where your 30-day IP rates are at these days and kind of where your booking Bcfs per well on the wells that you've drilled most recently?
Nicholas J. DeIuliis: Yes, Shneur. This issue really on the capital is exactly what you said it was, which is the capital cuts for 2012 on the gas segments were predominantly on the preparation work to get ready for the '13 programs. So when you look at production guidance, 2012 is still in that 160 Bcf estimate that we've provided. When you look at 2013, we previously wrote about a 200 to 220 Bcf range, that's now 190 to 210. So where you see the impact of reduced capital, reduced drilling that's on the 2013 production guidance because as you said, being back-weighted towards '12 on the work itself. The EURs in our different locations, they're outlined in our operational update that we put out last week. And we basically break it down for you by the different operating regions within the Marcellus. So you will see the recent EUR results for Central Pennsylvania, for Southwest Pennsylvania and for Northern West Virginia. No results yet, of course, in Marshall County where Noble is operating on our behalf with the partnership.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. And then just shifting to coal for a minute. You've talked often last year that Buchanan put up a great year. And so we understand that the production guidance for this year should be a little bit lower than it was for last year. But there's also a pretty decent delta on the thermal coal side as well. Is that an active decision to sort of curtail a little bit just given market conditions? Or did you have an unrepeatable year there as well? Or is there a lot of long low moves coming, if you can sort of give us an idea of how that number could change throughout the year depending on how things shape up?
J. Brett Harvey: Well, we look at all these as -- when we put our budgets together, we look at a bell curve-type of prediction going forward of what we think we can do on a good solid budget. What we put out is what we think we can do at a very high level of availability and our ability to predict what's going to go on. Now we have a very productive mine like we had at Buchanan last year. We can't really budget for exceptional performance, so we bring it back on the bell curve. We look at every mine that way. We look at against what the geology we see, what we see pacing us and what the markets are. We try to attach the mine production to the cash flows and where we see the markets. So yes, the geology, the markets and the planning gives us this plan that we reset every year in January.
Operator: Our next question in queue will come from John Bridges with JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: On your crossover tons, seem to be doing very well compared to some other stories about difficulties in selling this. Could you tell a little bit about how yours compares to other people's? And what you see the steel companies doing as maybe they're seeing pressure on their sales prices?
William J. Lyons: John, in order to answer that question, I need to take you back to about the second half of 2009 when CONSOL began the process to brand its high-vol Bailey coal. At that time, the BMA price was around $210 approximately. We managed to break into the Asian market with Bailey coal at around 65% to 70% of that $210 number. And then, in later 2010, the BMA price began to increase but the Chinese refused to pay the higher prices for coals out of Australia. And CONSOL's Bailey coals stayed in the range of around $147 to $155 SIF [ph], depending on vessel rates at that time. So today, John, we did not ride the upside up with the BMA price. So therefore, we feel we do not have to ride the BMA price down. We still are in the range of $145 to $155 SIF [ph]. And right now, at this level, this represents the true intrinsic value that Bailey coal gives to the Chinese. It has great cooking characteristics, the price has been stable. And granted, we have the ability to put these tons through our own port or use somebody else's for that matter. So on that basis, we've been successful, and that's what we're going forward with for 2012.
John D. Bridges - JP Morgan Chase & Co, Research Division: Okay, that's great. That was very helpful. And then this new high ash product, high ash low-vol, could you give us a bit of information on that? And what sort of price discount to the benchmark we can expect?
William J. Lyons: John, the high ash product is where CONSOL has been able to take a very low-ash product of roughly 5.5% dry ash and move it up to scale to somewhere between 9.25% to 9.5% dry ash. And we've been very successful at that, our operators have done a fine job. And off of the BMA price, and again, a lot depends on vessel weight to the particular country, but the discount is somewhere between 25% and 35%. But it allows us to put in each train roughly 400 or so tons of material that would have normally have gone to the refuse impoundment. And you probably read about 3 weeks ago that Norfolk Southern announced the largest vessel ever to load out of Lambert's Point was loaded with plus 150,000-some metric tons. And that vessel went to Asia and it contained -- every ton was a high ash buck in [ph] and product. So we're very proud of that, with something that we've been able to give them through CONSOL's marketing team as well as our partner Xcoal.
Operator: Our next question in queue will come from Mitesh Thakkar with FBR.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: My first question is for Bob, kind of continuing on what the previous question was. Bob, how are you seeing the high-vol market shaping now? Because it looks like when you look at your 2011 number and you look at your 2012 number, you are still optimistic about it. And kind of pricing, a little bit color around that would be helpful, too.
Robert F. Pusateri: Sure, certainly. Mitesh, right now, for the first quarter, CONSOL has scheduled 5 vessels, cape-sized vessels, into China. And so we're very proud of that given the economic environment that we see in other parts of the world. As we go through the balance of the year, we believe that we will have about the same amount of high-vol tons sold for 2012 as we did for 2011. And so our total high-vol sales for 2011 was roughly 4.8 million tons. And we're actually, right now, forecasting a slight increase to that number. We think we're successful for all of the reasons that I named when I answered John's question earlier, and that is mainly is because the strength of the coal, the fact that we've been able to work on our vessel rates, even though they've been all over the board, it's the fact that we own our own port. And I get asked this all the time, that I really believe that our success rate will continue all the way through 2012 even in a tough market. And we'll grow that, not only in Asia, but we'll grow it in Brazil. We've grown it here in the United States, which a lot of people said that that would never happen.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Okay, great. And my follow-up question is actually for Nick. On the gas side, first of all, I'd like to acknowledge that you are running -- you're doing a very good job in trying to balance and thrust off 2 separate types of investor base with one looking for growth, other looking for more conservative balance sheet. So you reduced the growth goal a little bit but are still maintaining the end target in 2015. So when you look across your platform and given where the gas prices are, what do you need to see to ramp up the curve from there?
Nicholas J. DeIuliis: What we know now, first off, the drilling rate by region within the Marcellus will be driven by returns versus our cost to capital and our partner shares that philosophy in Noble Energy as well, which is one of the reasons we're excited about partnering with them in a similar capital allocation philosophy. When you look at the Marcellus results to date across the subregions, Southwest PA, right now, has rate of returns at the current price that are well above our cost of capital, okay? So from that standpoint, we will continue to drill in Southwest PA, and that's what this current updated plan contemplates and shifts. The other regions like Central PA and Northern West Virginia along with the Marshall County area that Noble will be operating in, where we really see sort of a switch back to increased drilling rates to be somewhere just around $3 to $3.50 an Mcf. And that's where the returns, based on what we know of today, we'll start to get back to returns that are well above our cost to capital. So $3.50 or so is sort of the demarcation line there. We're drilling, and drilling rigs may increase back to where they were prior.
Operator: Our next question in the queue will come from the line of Lucas Pipes with Brean Murray.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: My first question is a follow-up on your prepared remarks where you mentioned you see met coal prices kind of bottoming in the second quarter. Could you provide us a little bit more detail on the analysis behind that and what you could see drive prices higher in the second half of the year?
William J. Lyons: Yes, Lucas, I think it's fairly simple. We're -- the numbers that I gave, we budgeted conservatively for our capital spending needs for 2012. And based on our track record, we hope that we will be able to beat these. But they're certainly dependent on the growth in Europe. We also believe that the United States knows while they are running extremely well. We are hoping that they will even increase their capacity over about the 73% level where they are today and get back to some of the levels that we saw in early 2011 and back to as far as 2010. So there's a whisper that things are improving in Europe, but it's certainly too early to bank on that. But as we'd look at our pricing, we think -- we see things improving, but I can tell you that when those prices improve, Lucas, we will adjust our numbers accordingly.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: That's very helpful. And on the thermal coal side, I mean, there were some numbers mentioned up to 85 million tons of coal being displaced. What is your analysis on the coal-to-gas switching at current net gas prices?
William J. Lyons: Lucas, the good thing about this is that everybody has the number for -- from gas-to-coal displacement relative to gas. Our numbers is probably in the range of 40 million to 50 million tons. And the bulk of this, as everyone knows, will be suffered in the Central Appalachian region to the tune of about 40%. With that, we think PRB coal will see a loss of about 20% to 24% of their demand will go away. And that, for us, in Northern App, we only see this affecting us by around 6% to 8%. It's those smaller units obviously that are untouched with respect to technology that will go off-line. And CONSOL's coals have been, for some time, going to large baseline units equipped with scrubbers and baghouses. So we think that we will certainly be a winner throughout this next round of environmental challenges.
Operator: Our next question in queue will come from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Brett, maybe one -- maybe this is for Brett and for Bill. Maybe you could highlight -- you're going into 2012 fairly well hedged, you've adjusted your capital. What are the 2 key metrics or 2 key goals that you would like to see CONSOL achieve during 2012?
J. Brett Harvey: Well, clearly, we're going to watch the cash flow. We want to create a lot of cash. We have great assets to put that on, but we don't want to get out there using debt to expand in soft markets where we're not sure. But when we see it turn, we want to have the volumes that create a lot of value. So one goal is to stay within cash flow, and right on the edge of that, to expand and develop assets for our shareholders, and another big goal is always safety. We want to get safety as close to 0 as we can get, and we're headed that way. So if you look at that cost structure, safety and same with our cash flow, I gave you 3, you asked for 2.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I'm sure Bill will have one of those, right, Bill?
William J. Lyons: Yes, that's right. The cash flow one.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I figured. Second question to follow-up. Brett, you've indicated in your prepared remarks, or maybe Bob's, about how the U.S. is going to offset some of the issues from regulatory pressures by higher utilization in exports. Are you feeling better, or are you or Bob, feeling better about the ability of the U.S. to meet the needs of European and Asian coal customers over the next few years? Do you think the industry has the capacity to do so and the willingness to meet those products into the far-away markets?
J. Brett Harvey: I think we're becoming a very strong swing supplier to Asia and we always have been a very strong supplier to the Atlantic markets. So when you look at the combination and our ability to move it, we have a well-capitalized industry in the United States. The fastest growing commodity worldwide is coal, so that gives us a very strong leg up. Being the low-cost producer, we can distribute this coal at very high margins from our well-capitalized position in the United States. So with port facilities and expansion of port facilities that we're doing, we see long-term markets, as well as short-term opportunities.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And just quickly, maybe for Nick, on frac-ing, environmental issues. Any thoughts changes sense that we get going to 2012 that could may be an issue for the industry in general, CONSOL in particular?
Nicholas J. DeIuliis: The issues there are numerous as you know, and it continues to evolve. It will evolve on a federal as well as a state-by-state basis. I think the general conclusion across all of them that you look at is that the overall regulatory environment is going to favor scale. It's going to favor entities that have the footprints and the economies of scale in their unit cost and services, et cetera, that can adjust and comply and go beyond compliance with those regulations versus those that won't be able to because of the cost impacts. That's something, of course, we're very comfortable with because of our footprint, and coupled on that, the other footprint that we've got on the coal side within the same region. So we think we're in very good position to not just comply with the current regulations. We'd be read to comply for any future rules of the road, so to speak.
Operator: Our next question in queue will come from the line of Jim Rollyson with Raymond James.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Brett, maybe to follow up on the answer you gave to Michael's first question. On the cash flow side, you guys have pretty much contended for a while that your cap spending would be within cash flow, and I assume that the initial budget of $1.7 billion was within cash flow, plus or minus the Noble payment. Should we assume that the decline is mostly based on just kind of the weak gas market and returns because of that, and maybe you're actually looking to be a little bit of free cash flow positive this year now? Or does the crappy gas market also take down what your cash flow assumption was, and so you're just basically trimming that to fallback within cash flow?
J. Brett Harvey: Well, the crappy gas market takes down cash flow because we do have some open positions there. We'll make the adjustments. I think you've got a good look at it when you look at the payments that we're getting from our partnerships and so forth. That's why we're adjusting ourselves. We're also going to the highest rate of return projects. Nick has got his people together and scrubbed all this down. And when we look at cash flows against opportunities, against future values that we're going to create out of this drilling process, we're trying to match up big cash flows with '13, '14 and '15 in a slow spot. So we're really hitting the sweet spots, staying within our cash flow, but adding great value to our shareholders for '13, '14, '15.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: That's helpful. And Nick, it's maybe a little premature, but looking at kind of what you're doing, drilling-wise now, as you're maybe de-emphasizing dry gas and starting to emphasize the liquids portion of the Marcellus and obviously ramping up in the Utica, thoughts as to how your liquids contribution starts to show up over the next 2 or 3 years? And just as we think about the currently weak gas price obviously, the liquids benefit going to help, I know it's early but maybe some color there.
Nicholas J. DeIuliis: There's 2 phases to that when we look at the liquids contribution. One will be the component that comes from the Marcellus and through the Noble joint venture. We're much more confident on that, we don't view it much as exploration or even delineation. And that will start to appear towards the back end of this year, as well as in a major, more significant way in '13 and beyond. So that's one component, shorter term, in higher confidence. The second component is the Utica, of course. And we still view the Utica, as well as it has as more on the exploration phase. We will learn quite a bit about it between seismic and exploratory drilling between the 2 parties over the course of 2012 and really, over the course of the first 2/3 of 2012. That impact and when that timing will be has yet to be determined. So that's how we sort of look at the liquids from those 2 components. One is more determinable at this point. You'll start to see it late '12, early '13. The other side, let's see what these Utica results indicate across the 200,000 acres, and we'll go from there in terms of what that means and the timing.
Operator: Our next question in queue will come from Brett Levy with Jefferies & Company.
Brett Levy - Jefferies & Company, Inc., Research Division: Can you talk about how the front of the current pricing environment is impacting kind of your plans for equipment move, longwall moves, that kind of thing? And then also, tell us a little bit about whether or not that's going to impact the timing of any infrastructure, gathering systems or anything else like that, that you might be putting up around your shale plays. Just trying to get a sense as to sort of not only overall CapEx but kind of timing of projects this year and whether or not you can sequence a little bit based on your level of optimism about pricing.
Nicholas J. DeIuliis: The capital budget that you've seen now that's been released today does reflect all of those timing issues that you put out, specifically on the gas side. It really is a gas issue more than anything else. So drilling gets deferred because of the gas price environment. There's going to be a certain component of capital in the infrastructure side for gathering, processing, compression, that also gets deferred with it. So yes, you see that. That reflects itself in the capital budget as well as the production guidance that we've updated specifically for 2013 where the change was. On the coal side, basically, what we've done there is we've looked more at the efficiency expansion projects at existing mine locations. And that's where we came up with the deferrals of the reductions. So from things like longwall moves and the major infrastructure projects, like the overland belt project at Enlow Fork, it's still on the scheduled that was set in 2011, no changes there.
Brett Levy - Jefferies & Company, Inc., Research Division: Is it fair to say that CapEx schedule will be back-end loaded?
Nicholas J. DeIuliis: No, the CapEx schedule other than the drilling changes, as I said, on the coal side, due to $40-some-odd million of reductions were more on various smaller efficiency expansion projects that already operating in the coal mine. On the gas side, the capital reductions will probably be more back-end loaded in '12 because of the focus being on the '13 program where we're making reductions in capital in '12.
Operator: The next question in queue will come from Kuni Chen with CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Just a question on the cost side. I know you're kind of going through the process right now of looking at your cost structure in coal and how you can improve going forward. Can you just, in a general sense, talk about some of the cost buckets that you're going to attack for the year ahead?
Nicholas J. DeIuliis: There's a couple of different ones and it's sort of how we describe the cost results for '11 where we build it up. The first component, of course, is the field operating cost. There's 2 big issues or components there. One is the commodities and the consumables that we use across our operations. 2011 was a pretty challenging year on inflation for many of those components, and we expect '12 to be more potential for some upside and at least the reduction in the inflation rate that we've seen in '11. Labor, of course, is the other and that's more of a fixed item. So I feel pretty good about how we can perform in '12 on the operating fuel cost versus '11. The components past that, DD&A should be relatively stable compared to what we saw in '11 on a per ton basis when you look at our capital program. And then there's the overhead and provisions. That's going to be a major area of focus for us in '12 not because they got out of control by any stretch, but because we were ramping up for growth, growth on the coal and gas side. The world has changed the past 30 to 60 days, we need to change those plans with it.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay, great. And just as a follow-up on the Amonate Mine, can you just talk about where we are there and kind of your ramp up plans if there's been any change or push-up there?
Nicholas J. DeIuliis: The Amonate Complex is ready to go, pending 2 provisional approvals from MSHA and the agencies. We're working on trying to get those approvals that had -- that we're hoping to have that project up and running. First of the year, it's been delayed because of those approvals. But from an equipment standpoint, a workforce standpoint, infrastructure, they are ready to go, and our plans are to proceed.
Robert F. Pusateri: Sure. Also, Kuni, from a marketing standpoint, we have managed to stir up a great deal of interest in purchasing that coal both here in the United States as well as abroad.
Operator: The next question in queue will come from the line of Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: I was hoping, first, if you could spend a little time in the Utica. See if you can give us a little bit more color on your plans to drill. I believe those 22 wells, we've seen some others' maps. But if could remind us how much of your acreage you consider to be in the oil- versus liquids-rich windows? And how much of it you plan to test in 2012?
Nicholas J. DeIuliis: The current plans for '12 in the Utica, what we have ongoing now is we do have, obviously as we said earlier, rigs operating there, that we are operating, CONSOL Energy. That well should be completed sometime around mid-April. That's been pushed back a bit. That well was in the process of being drilled at year-end last year and started this year. The reason it's been pushed back is that we're doing additional well coal science and coring on that well to get additional information. So first well result, from our position, should come in some time around April. You look at the year, it is 16 wells in total as you've -- I'm sorry, 22 gross wells as you've laid out, 16 of those are going to be drilled by CONSOL. We're basically going to be operating in counties like Tuscarora [ph], Noble, those counties within the 200,000-acre footprint. Six of the gross wells will be drilled by Hess. Hess is going to operating in effectively Guernsey, Jefferson, Belmont, I believe, Harrison Counties. On the oil-to-dry split, our best estimate at this point is still about a 50-50 split between the 200,000 or so acres. A lot will be learned as these 22 gross wells start to come on with our production data. So as I've said, 2012 is going to be a very active year on the Utica in terms of the results that we see and what it means moving forward.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: That's helpful. And I guess just to shift a little bit south from there. On the West Virginia portion of the Marcellus, I know you have one rig running in Barbour County. Where do you plan to drill throughout the rest of 2012? And are you trying anything different now versus your first few wells and any views on what's going on with EURs and cost assumptions across the acreage?
Nicholas J. DeIuliis: The Marcellus continues to be refined and optimized. You can see the specific EUR results by region within the Marcellus in our operations update. You are correct. We've got -- in West Virginia, we're operating one rig in Barbour. Noble is operating a rig in Marshall. So if you look at West Virginia overall from a JV total, first factor, there's 2 rigs there and then there will be 4 additional rigs in Pennsylvania, 2 in central Pennsylvania, up around Westmoreland and Indiana, and 2 in Southwest Pennsylvania. All 4 of those, CONSOL Energy will operate. So 6 rigs in the Marcellus, 5 of them operated by us, 1 of those 5 is in Northern West Virginia, 1 operated by Noble in West Virginia.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: So around West Virginia, are you planning to just stay in Barbour? Or are you planning to move around and test some more acreage in other places?
Nicholas J. DeIuliis: Right now, we're big on this, as you know, drilling and hooking up those wells as soon as we can because of the rate of return implications. So most of our drilling and focus in Northern West Virginia will be Barbour offshore.
Operator: Our next question in queue will come from Brandon Blossman with Tudor, Pickering and Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's see, how about exports? Your guidance is down a little bit year-over-year for 2012. What, overall, is changing there on your expectations? And is there any mix-shift change versus '11?
William J. Lyons: Brandon, as we look at 2012, and the month or the year is only 27 days old. Our crystal ball was somewhat murky with respect to the demand that's going to be out there. As we put in the release, overall, CONSOL is roughly about 90% contracted for the year. That 6 million tons that is unsold, about 40-some percent of that is tons that we will sell on a quarterly basis into Asia. There's also about a 1.5 million in addition to that number that represents a sale of Buchanan coal that will take place, just a matter of us pricing the coal. So when we look at comparison of '12 over '11, the amount of coal may shift from high -- from steam to high-vol, and maybe even back to steam. But it will not be that drastic, so we're expecting the same kinds of results.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, that's useful color. And kind of staying on the same theme, '12 sales expectations, can you provide any more detail around the kind of the pieces that moved quarter-over-quarter on '12? Low-vol sales, it looks like a nice increment up at a very nice price, but it sounds like there's moving pieces behind that.
William J. Lyons: Well, for the first quarter, obviously, a lot of those rates were negotiated, this time, last year for the fiscal year which begins April 1 through March 31. So there is some enjoyment of higher rates in the first quarter. Our prediction is that, based on Buchanan producing between the range that we gave you on Page 5, I think it is in the release, we believe that our Buchanan Noble ton sales will be strong. We will end 2012 with about the same beginning inventory of roughly 200,000 tons that we started the year with. I mean, the market, for any type of coal overseas right now, especially in metallurgical coal, has slowed down. We believe that China will come back. There are signs that the Chinese government is already starting to release the necessary funds in order to be able to stabilize the economy by holding down inflation. As you well know, the government of China is going to change here this October. And in recent years, when this has happened, there's always been a smooth transition. So we see the government drawing perhaps even slightly more money into the Chinese economy which will allow us to be able to perform. And a big part of this is vessel rates. And as we look forward and try to get our arms around these vessel rates, vessel rates are broken down into 3 categories. The first category, the trans-Atlantic rates, they fall on over the last 3 months. The U.S. East Coast to Rotterdam, today, is roughly approximately $14. And that's down from about $16, $18 3 month ago. The Pacific rates are at historic lows. Unfortunately, CONSOL doesn't have anything that loads in the Pacific and discharges in the Pacific. But these rates, as I said, are low. And today, those rates are trading at about $5,000 to $10,000 per day. And that's well below their costs. And then when we look at the meat of it, the rates that are the most important to us, what we commonly refer to as the front haul [ph] rates, these are vessels that load in the Atlantic and discharge in the Pacific. They are impacted by high vessel fuels, high vessel fuel bunkering. And it's up about $6, but the market is down $6, so this is flat. So this coupled with real rates, we measure it all the time. So we believe as we were in '10 and '11, that we'll be successful in our negotiations going forward and this will add to a healthy margin.
Operator: And next in queue is the line of Meredith Bandy with BMO Capital Markets.
Meredith H. Bandy - BMO Capital Markets Canada: So I wondered on Amonate, you've got that coming on soon, I guess. And how should we think about the pricing for that coal?
William J. Lyons: Sure. Meredith, we have lots of interest for this coal. This coal has been around since the 1940s, so most of the major steelmakers have used this coal from one time or another. It will become -- I wish, we hope it will become, a major part of blend for the steelmakers. And so we're projecting that even with the climate that we have today, we're projecting a price in the $140 to $150 range for the first half, and maybe $10 higher in the second half of the year as the economy expands. That's the model, by the way.
Meredith H. Bandy - BMO Capital Markets Canada: Okay, great. At the mine. Sure, $10 at the mine. Okay, and then on BMX, I know you have -- you gave us that new 2014 guidance and there's a little bump there. So I assume that is BMX coming online?
J. Brett Harvey: Correct.
Meredith H. Bandy - BMO Capital Markets Canada: And then so is BMX then going to be sort of just a quarter high-vol and 3 quarters thermal. Am I reading that right?
William J. Lyons: Well, the good thing about BMX is it can be whatever we want it to be to go to the highest market possible. It can be 100% steam coal should the domestic steam coal accept it, or it could go export as a great thermal coal, or it can be accepted around the world as a high-vol crossover ton. We take the output of BMX blended with the output of the other 2 mines in the complex, 5 reliable longwalls producing nearly 27 million tons. And we'll move those tons, Meredith, around the world to be able to fulfill as many markets as we can at the highest prices possible.
Meredith H. Bandy - BMO Capital Markets Canada: So I guess it would be called then a true crossover. And can you give us any idea, like if you have a real crossover coal like that, what are the specs on that coal?
William J. Lyons: Well, as a thermal steam coal in United States, it's going to go to a large base loaded plant that probably is equipped with a scrubber. So the sulfur range of that is 2% to 2.5% to 2.75% dry. It has no problem going into the scrubbers. And in fact, it's a benefit, because of its lower sulfur, it reduces the scrubbing cost as well as the disposal cost on ash because the product is right under 8% ash. As a thermal coal, it also enjoys the same benefits going overseas. It's low-sulfur and it's low-ash, and it travels well because it's high BTU. On the metallurgical side, it has the same characteristics of the other 2 coal mines, and its sulfur will remain at the 2% dry level. So all of that flexibility, coupled with CONSOL's Baltimore Terminal, will allow us to meet world markets.
Operator: Our next question in queue will come from the line of Dave Gagliano with Barclays Capital.
David Gagliano - Barclays Capital, Research Division: I have one quick question. In the press release, I did notice you had 7 million tons collared as thermal sold forward in 2014 with the ceiling of $60.13. I'm wondering, when you signed that deal and if there are more of those being signed now?
William J. Lyons: David, I'll answer the second part of that first. There's no more contracts being signed with the collar. Those contracts that are in there for 2014 are for one major utility that has deal with those that, I believe, and then I'll have to check on this, David, but I believe it goes out through 2014. And that's the last year of it. So the numbers that we have in there right now are reflective of the current price, and assuming some market price for those years and understanding that the collar either up or down won't let us go above. If the market is rampant and price goes to $200, we will not be able to enjoy that price on those tons.
David Gagliano - Barclays Capital, Research Division: Okay, fair enough. You mentioned in the prepared remarks, the export thermal market obviously is still a significant opportunity. I'm wondering what API#2 price do you need for it to become economic to export thermal given current U.S. prices, freight rates, et cetera?
William J. Lyons: The API#2 price is really misleading. It's a published price but then there are subtractions from that based on how hard a particular producer wants to meet that market. So for instance, today, if the number is $102, it's rumored that there are coal basins out there that are willing to discount as much as $35 off of that number in order to get the business. So it's hard for me to answer your question with an emphatic number, but I know I can tell you we track the possibility to put steam coal into Europe, Eastern Europe, China, India, Korea, Japan, and we update these numbers on a pretty much a daily basis, and so we're always watching that, coupled with vessel rates. So right now, given how our cost system, CONSOL could get into these markets. However, we have our coal sold to other places at higher margins. So as this balancing act takes place, we'll continue to look for the best suitable market for us.
David Gagliano - Barclays Capital, Research Division: Okay. Let me ask the question in a different way then, I guess. Based on the data that you're tracking, how wide is the spread right now? How much -- presumably it's not you can make more money in the U.S., I guess, rather than exporting it at the moment. And how high do international prices need to go relative to where they are now, say, European press relative to where they are now based on what you see?
William J. Lyons: Sure, I'll tell you this. Given today's market, if you just took the API#2 index and you had a discount on that number of, say, $15, that number today is roughly $50.50 a ton for a Northern App coal going into Korea.
David Gagliano - Barclays Capital, Research Division: Okay. All right, that's helpful. And just a last clarification question. The estimated price ranges for your unpriced volumes for 2012, are those -- I just want to make sure, are those ranges your view on where prices are going to settle in? Or are they where you think you can sell your coal as of today, or is it both?
William J. Lyons: It's both. It has to be both. Again, we sell into a world market and so there's a lot of factors that we cannot control that we have to live with. But as that market changes, we'll change with it as well. We have a cost structure that allows us to do that.
David Gagliano - Barclays Capital, Research Division: So can you sell your coal at those prices today, better than this?
William J. Lyons: Yes, we can.
Brandon R. Elliott: Tony, this is Brandon, we've run over our allotment. So I'll just say thanks, everyone, for joining us today. We clearly appreciate your interest in CONSOL Energy. We look forward to updating you on our First Quarter Conference Call at the end of April. And Tony, if you could go ahead and give -- please give the replay information. We'll sign off.
Operator: Thank you, sir. And ladies and gentlemen, this conference call will be available for replay after 12:30 p.m. Eastern Time today, running through February 2, 2012, at midnight. You may access the AT&T Teleconference replay system at any time by dialing (800) 475-6701 and entering the access code of 231993. International participants may dial (320) 365-3844.  That does conclude your conference for today. We do thank you for your participation and for using AT&T's Executive Teleconference. You may now disconnect.